Operator: Good afternoon, my name is Sarah and I will be you conference operator today. At this time, I would like to welcome everyone to the American Reprographics fourth quarter 2009 earnings conference call. (Operator Instructions). Thank you. Mr. Stickney, Vice President of Corporate Communications, you may begin your conference.
David Stickney: 
 : The company has released reporting financial results for the full year and fourth quarter ending December 31, 2009 was issued earlier today. We will review and expand on the information contained in the press release on this call and then we will open up the call to your questions. For your reference you can access the press release and the company's other releases from the Investor Relations section of American Reprographics Company's website at e-arc.com. A taped replay of this call will be made available beginning about an hour after its conclusion. And you can access the call any time within seven days from today. You can find the dial in number for the replay in our press release. As usual we are webcasting our call today and a replay of the webcast will also be available on our website. This call will contain forward-looking statements that fall within the Safe Harbor Provisions of the Private Securities Litigation Reform Act of 1995 regarding future events and the future financial performance of the company including the company's financial outlook. Please bear in mind that such statements are only predictions, and actual results may differ materially as a result of risks and uncertainties that pertain to our business. These risks are highlighted in our quarterly and annual SEC filings. The forward-looking statements contained in this call are based on information as of today, February 23, 2010 and except as required by law the company undertakes no obligation to update or revise any of these forward-looking statements. Finally, this call will contain references to certain non-GAAP measures. The reconciliation of these non-GAAP measures is set forth in today's press release and in our Form 8-K filing. With that as a background for the call, I'll introduce our Chairman, President and CEO, Suri Suriyakumar. Suri?
Suri Suriyakumar: Thank you, David, and good afternoon everyone. As we all expected, the market was a difficult one in 2009 to say the least. In spite of the challenges, however the company performed very well enabling us to meet our obligations and invest in our future. As most of you know we have early visibility into our business. Realizing that 2009 was going to be a difficult year, we commenced our cost-cutting efforts in late 2008 and those efforts set the tone for 2009 where we continue to focus on rightsizing the company given the extraordinary market conditions. Through 2009, our stated objective was to generate adequate cash to meet our financial obligations and to position ourselves for growth when the economy returned to normal. I'm proud to say that is exactly what we were able to accomplish. First, we met our financial obligations comfortably through the first half of the year, which in turn allowed us to negotiate favorable amendments to our credit agreement, this of course has also positioned us well for 2010. Second, we continue to generate substantial cash from operations, which allowed us to reduce our debt obligations by more than $85 million in spite of a drop in annual sales of more than 28%. Third, we were able to make significant investments of time, talent and existing resources in business initiatives we believe will open up new revenue streams for us in the future. I have said before that we will emerge from these difficult times a different company, a better company than we have been in the past. These three accomplishments alone prove that we will, but there is more. Consider the following. We acquired building information modeling experts, RCMS to provide outsourced BIM services for our customers. We expanded our operations in China by acquiring another company in Shanghai. We opened our first location in Bangalore, India, establishing a foothold in one of the most vibrant markets in the world. We also launched a new digital document shipping application called iShipDocs. We have again licensing our print tracking software and upgraded MetaPrint, our print and imaging controller. And we also made significant upgrades to Sub-Hub, our online bid communication too. That's not all. Forbes magazine named us to its top 200 small companies for the third year in a row. We were able to make this list even after loosing almost 30% of our annual revenue. We acquired two of the nation's largest architectural firms as global services accounts and secured the Boeing contract for two more years. And finally, we launched Riot Color, a separate division to enter the ever expanding color graphics market. Here too our efforts are being related primarily to our traditional customers. With Riot, we are now in a position to specifically target new non-AEC segments of the market. I have repeatedly stated that significant loss in revenues not only created excess production capacity, but also management capacity and I was determined to put it to good use. As a result, we tackled more during the worst year in our history than we have in several of the best years in our history. While I'm enormously proud of our accomplishments, let me be clear, I'm not saying that each of these initiatives delivered significant financial benefits to the company in 2009. What I am explicitly saying however, is that we are using our existing recourses, abundant management talent and excess capacity during these difficult times to prepare the company for significant growth as the economy recovers. Needless to say, all of us would like to see our economy back on track and business as usual. While it is hard to predict when that will be, it is unlikely that we'll be experiencing any growth in our revenue streams in 2010. While the constraints of the credit market have eased, investment in commercial construction is unlikely until there is meaningful decline in vacancy rates. However, when the recovery occurs, we are well positioned to grow in three different areas. First, we expect a healthy recovery of revenues from our traditional customers, while growth in the each area of our business may vary depending on the level of technology adoption that occurs in the market, construction will have tremendous potential when the economy picks up. Second, we expect to recommence our acquisition activities when we see signs of recovery. It is our experience that after every down cycle, acquisitions opportunities improve significantly. Third, the investments we have made in new revenue segment such as color, global services and outsource (inaudible) services will generate new sales. This will further diversify our revenue mix and reduce our dependents in our traditional market. As I noted in the beginning of the call, the company performed very well in 2009 despite the challenges we faced throughout the year. We met our financial obligations advanced our business and technology agenda and took steps to secure our future. While it appears that 2010 will continue to test our mettle, we are in excellent position to leverage our strength and exploit our opportunities during the year. I look forward to reporting our progress to you in the coming months. As noted in our press release today, we are going to maintain the practice of forecasting annual EPS and cash from operations. Thus we anticipate ARC's annual earnings per share in 2010 to be in the range of US $0.15 to $0.30 on a fully diluted basis and annual cash flow from operations in the range of $65 million to $80 million. With that I'll turn the call over to Jonathan for some insight and commentary on our 2009 financial picture and then we'll move to Q&A. Jonathan?
Jonathan Mather: Thank you, Suri. Looking across our customer base, the mix of AEC to non-AEC was relatively unchanged from the third quarter to the fourth quarter. Of our total revenue for the fourth quarter, 21.8% came from the non-AEC segment with 72.2% coming from non-residential customers and 6% from our residential customers. Our product and service mix remains stable as well. Facilities management made up 19.9% of our revenues, digital services delivered 8.5% of our sales, 12.2% of our revenue was from equipment and supplies and the remaining 59.4% came from our base of reprographic services. There were 63 working days for the fourth quarter compared to 64 days in the third quarter. There were also 63 days in quarter four of last year. Our regional basis by year-over-year revenue performance was as follows. Southern California was down 32.2%, Northern California was down 30.2%, the Pacific Northwest was down 16.9%, our Southern region was down 30.4%, the Midwest was down 23.5%, and the northeast was down 31.7%, our international operations excluding Canada are up 24.7%. As a final note regarding the P&L, most of you are we amended our credit agreement last year and thus incurred a charge of $2.6 million that included a fee to amend our interest rate swap transaction. $1.7 million of the total $2.6 million charge was recorded in quarter four. In reviewing the balance sheet, we ended the fourth quarter of 2009 with a cash balance of $29.4 million despite a $35 million pay down early of our credit facility in the fourth quarter. Day sales outstanding or DSO were 43 days in the fourth quarter of 2009 considerably lower than 48 days in quarter three due to our continuing aggressive collection efforts. Total debt including capital leases at the end of the fourth quarter 2009 was $274.2 million down from $317.6 million for the third quarter of 2009 which is due to the early pay down of $35 million in conjunction with amendment, credit agreement and $8.4 million in schedule debt payments. The ratio of debt to trailing 12 months EBITDA excluding the goodwill and intangible impairments at the end of the fourth quarter was $2.7. Cash flow from operations was $97.4 million in 2009 or $2.16 per fully diluted share, thanks to a better fourth quarter than anticipated this compares to $127.3 million or $2.80 per fully diluted share in 2008. I think that covers the fundamentals for the moment, so at this point I'll turn the call back to our CEO, Suri.
Suri Suriyakumar: Thank you, Jonathan. Operator, at this time we are able take our caller's questions.
Operator: (Operator Instructions). Your first question comes from the line of Andrew Steinerman with JPMorgan.
Andrew Steinerman - JPMorgan: Could you go over your comments about 2010 will not experience growth. Did you mean that no quarter year over year will experience growth? Or did you mean no quarter sequentially would experience growth?
Suri Suriyakumar: So, Andrew the way we are thinking about this is that, obviously we know that in the later part of 2009, the decline kind of leveled off, it's not declining any further. So we expect that trend to continue during 2010 and the aspect we attribute that to the fact that we are gaining a little bit of market share, some of the new efforts we are putting in to go after the non-AEC markets are helping us. So we are hoping that in 2010, that we will continue the same level. Having said that, early part of the year we have a little bit of softness because of the seasonality and of course the first couple of weeks in February didn't help a whole lot given the extreme weather conditions in these several of our locations were effected. But in general 2010, we don't expect it to get any worse although the numbers projected by FMI and McGraw-Hill show that there will be a decline. We think given the fact that we are taking some market share and our new initiatives we'll be able to hold on or rather offset some of that decline.
Andrew Steinerman - JPMorgan: I didn't fully capture that. Maybe if we just focus at the beginning of the year, do you feel like or at a point of sequential stability, like where we look at first quarter versus fourth quarter revenues could be stable. My question was on a sequential basis, do you feel like you'll hit stability or growth either early or during the year, sequentially speaking?
Suri Suriyakumar:  I would say stability plus or minus 5%.
Andrew Steinerman - JPMorgan:  In the first quarter?
Suri Suriyakumar:  In the first quarter.
Operator:  Your next question comes from the line of David Manthey with Robert W. Baird.
Unidentified Analyst :
 : Yes this is the (inaudible) sitting in for David today. So can you touch on digital trends a bit here and did you call out what they were as a percent of revenues this quarter?
Suri Suriyakumar:  Yes, I think it’s 8.5%.
Unidentified Analyst : Okay, and then just speaking about activity levels in your digital, obviously you've put some new initiatives out there this year. Are you really seeing any difference in those trends versus overall revenues, are those largely tracking in line still?
Suri Suriyakumar:  They are pretty much tracking in line. The only conclusion I can come to or the implied conclusion would be given the fact that there is a lot of erosion of work from our existing customers and not only when there is less work, it doesn't mean that it’s just only analog work. It’s work which we do for them, both in digital and analog. I think there is erosion in the digital work but I think some of that is offset by the work we are getting in the color area and the non-AEC area, but it's not enough to show a huge difference just yet.
Unidentified Analyst : Okay, and then thinking about your digital service offerings versus some of what your competitors are offering, are you noticing any differences in their behavior as the downturn goes on here in terms of discounting or trying to package those services or has their behavior been pretty rational still.
Suri Suriyakumar: It's rational but of course it's affected by the economy. For example, we have not seen any one of our competitors put out new technology products, we for example released iShipDocs, we also released new versions on MetaPrint on Abacus and Sub-Hub. We updated all of them during in order to increase the efficiency of these products. We haven't seen any of that in our competitor's products whether it's in the planroom aspect of it or any other tools aspect of it, especially from within the industry. There are some products outside the industry like tracking tools and so on, they have done some work, but we have not seen a whole lot from those competitors from within the industry. So, that certainly gives us the advantage to be able to sell more and impress upon our customers. Even though the market is down, given our size and scope, we'll continue to invest in the industry and that investing our products and we'll improve the products even during downturn. So that certainly puts us in a better position. With regard to the behavior itself, I wouldn't call irrational but there are pockets of areas where there is pricing pressure. The pricing pressure comes in areas where customers are looking for pure print related work. But if the customers are trying to centralize the work, put it on a single platform, then most of our competitors, traditional competitors are unable to provide those services while we are able to provide those services. That's where we can take market share.
Unidentified Analyst: Sure. And then just circling back last to your comments that in the first quarter, you expect some stability plus or minus 5% relative to fourth quarter revenues, as we get through the year thinking about the sequentials in terms of normal seasonality, if you will, given your comment that the declines have kind of leveled off here, would it be fair to say that we might see something resembling normal seasonality, just off this slower base that we are at now or is that unreasonable still?
Suri Suriyakumar: In a usual year, we are very comfortable predicting the first quarter because all what you had to do is adjust it for seasonality and we have a good understanding of what the first quarter is. But I must say under these economic conditions, it's very difficult to predict how exactly our customers are reacting because obviously with the credit situation starting to thaw a little, there is more talk about some of that work being continued. There is more talk about stimulus dollars flowing in, so the market seems to operate with a lot of a hope, but it's very hard to exactly predict how the market will behave. So when you actually talk about what do you think the first quarter is, if you look at the trends we have had for the last four months from last year in 2009, the market has reasonably steadied in terms of the revenue and that's what we expect in the first quarter. But having said that, given the seasonality and given that there is some amount of unease in the marketplace, I am qualifying that by saying maybe plus or minus 5%.
Operator: (Operator Instructions). And your next question comes from the line of Scott Schneeberger with Oppenheimer.
Scott Schneeberger - Oppenheimer: Just curious on the weather impact, there have been quarters in the past where weather has had a sizeable impact and while we are talking about the 5% plus or minus in the first quarter, could weather have a sizeable impact a few percentage points or is it too early to determine?
Suri Suriyakumar: If it is a generally an average year, these things we could easily ignore it or the impact would have been less meaningful but in a market like this, in conditions like this, where we are looking at pressure on the topline. For example, in east coast, we had several of our divisions closed four or five days, so that entire segment we lost our daily sales revenues. And in our business, people don't come back and buy more the next day, it just gets put off. So we just cautioning and pointing that out that aspect is there, we've had several branch closures because certain cities were shut down during that period of time. But in general, in the market when it's under normal conditions, that wouldn't have impacted us so much because the impact would have been different. But under these conditions I think we just have to be mindful of the fact that anything negative now will actually hurt the numbers.
Scott Schneeberger - Oppenheimer: You mentioned when you are giving the regional breakout international without Canada kind of housekeeping question, where does Canada land in that mix? And then more to the meat, what are the immediate plans for internationally probably still with the outlook you have provided, want to remain in cash preservation mode and debt reduction, but you have started some things internationally, how active are you going to be over the coming year?
Suri Suriyakumar: Okay, so to answer the first question, Jonathan jump in in case I am not a accurate. So Canada is broken into the two sections, I think the Vancouver and the northern part of it is in the Pacific Northwest area. And then of course Toronto would come under the Midwest or northeast numbers, could be. So it's actually because of the regions are handled regionally by the Senior Vice President, every thing north of Canada, Vancouver and areas like that are attached to Pacific Northwest, and then of course Toronto is tied in to Northeast. With regard to international operations, obviously all other things we did during these times, obviously the economy is effected in all the areas. For example, in London things are still bad, Europe is still bad. China we have been doing reasonably well, relatively. We obviously acquired and we seem to experience growth in those market places. And India is just fresh tap, we just opened our branch. It seems very vibrant and we are very hopeful that we can continue to grow there.
Scott Schneeberger - Oppenheimer: Okay, thanks. And with regard to your ability to further reduce costs, it sounds like you are looking for kind of steady topline as we move ahead. If we have a leg down how much more flexibility is there with regard to cost removal and what are your plans for that for the immediate future?
Suri Suriyakumar:  Right. In terms of reducing cost, Scott, we can continue to work on that. Up to now right where we are, as long as the revenues don't slide down any further, we don't feel like we need to reduce the cost any further, especially given the last year that we completed. As you can see last year, middle of last year, I stated we have largely right sized the company. And that was proven by the fact that in spite of the fact that we had almost 30% loss in revenues, we still were able to generate $90 plus million in cash, meet our financial obligations. The whole idea is we want to continue to build on the business during this downturn. So, as it stands now, we don't see a big reason to have significant cuts, although the culture right now in the organization is that anything which is not producing, anything which is not returning the investment on, we are basically trying to clean it up. And so that day-to-day controlling of cost and keeping the fist tight would continue throughout the year. But there is no reason for a major cut, we don't see one now. But should the market suffer, take a big beating, or something really unexpected happens, which is very unlikely at this point of time, we have the ability further cut branches, shutdown certain areas, rationalize some of the operations, we will have some room to go.
Scott Schneeberger - Oppenheimer: Okay, thanks. And this is all with consideration primarily for the cash from operations guidance, which I assume is one of the key metrics for you to operate to the share?
Suri Suriyakumar: Absolutely, based on the projections we have, based on the numbers we have, we are confident based on our performance last year that we can continue to perform at those level as long as the variation in revenues is within plus or minus 5%, Scott. If that remains like that, and we feel like it will, I think we will comfortably we make those cash projections.
Operator: At this time, there are no further questions. Presenters, do you have any closing remark?